Adrián Zunzunegui: Thank you. Good morning, and welcome to Telefónica's conference call to discuss January-September 2021 results. I'm Adrián Zunzunegui from Investor Relations.  Before proceeding, let me mention that the financial information contained in this document has been prepared under International Financial Reporting Standards as adopted by the European Union. This financial information is unaudited. This conference call and webcast, including the Q&A session, may contain forward-looking statements and information relating to the Telefónica Group. These statements may include financial or operating forecasts and estimates or statements regarding plans, objectives and expectations regarding different matters. All forward-looking statements involve risks and uncertainties, including risks related to the effect of the COVID-19 pandemic, that could cause the final developments and results to materially differ from those expressed or implied by such statements. We encourage you to review our publicly available disclosure documents filed with the relevant securities market regulators. If you don't have a copy of the relevant press release and the slides, please contact Telefónica's Investor Relations team in Madrid or London. Now let me turn the call over to our Chief Operating Officer, Mr. Ángel Vila.
Angel Vila: Thank you, Adrián. Good morning, and welcome to Telefónica's third quarter results conference call. With me today are: Laura Abasolo, Chief Finance and Control Officer and Head of Telefónica Hispam; Eduardo Navarro, Chief Corporate Affairs and Sustainability Officer; and Lutz Schüler, CEO of Virgin Media-O2 joint venture. As usual, we will first walk you through the slides and then we will be happy to take any questions you may have. Our third quarter results highlight consistent growth, smart capital allocation and further deleveraging. It is the second straight quarter of simultaneous year-on-year organic revenue and OIBDA growth. The revenue growth trend accelerated on the back of strong service revenues and continued improvement in B2B revenues. FX was not a drag in Q3. And reported revenue growth, excluding changes in the perimeter, is aligned with organic growth. EPS rose 6% on an underlying basis in the first 9 months of the year. Organic OIBDA minus CapEx stabilized in the quarter through efficient capital allocation with CapEx to sales at 13%. Net debt further declined in the quarter to €25 billion, down 32% year-on-year. Operationally, total group accesses grew 3%. And we further extended what already is one of the largest fiber footprints in Europe and Latin America with 157 million premises passed. In parallel, we continue to make good progress in our strategic priorities. We continue reducing complexity, reprioritizing capital allocation to core markets. In the U.K., the joint venture integration is moving ahead at pace. In Hispam, we continue reducing our capital employed, completed the Costa Rica sale and announced the sale of El Salvador. Telefónica Infra continued with the development of fiber vehicles while maintaining the optionality across the group's asset base. Telefónica Tech against -- again posted very strong top line growth of 25% year-on-year in Q3 while our digitalization program increased to 79% of all processes, making our operating model more efficient and sustainable. Finally, we continue to be fully committed to our ESG goals as demonstrated by our achievements in the three categories. Moving to Slide 2. Reported figures were affected by capital gains and changes in the consolidation perimeter. Q3 revenues amounted to €9.3 billion and grew organically by 3.6% year-on-year, 0.2 percentage points higher than in Q2, while OIBDA maintained a steady growth of 1.6%. Net income reached €706 million in the quarter and a record high of €9.3 billion in the first 9 months. Free cash flow in the quarter was affected by the €310 million spectrum payment in Spain. In the 9 months of 2021, excluding spectrum payments, free cash flow reached almost €2.5 billion, a very solid result. Finally, net financial debt declined by €1.2 billion versus June to €25 million post distribution to Telxius' minorities. Moving to Slide 3. Let me confirm our full year guidance and dividend. 9 months' results are aligned with our full year targets for revenues and OIBDA of stable to slight growth while CapEx to sales at 13.2% stands well within the up to 15% target. On shareholder remuneration, and as previously stated, we will be paying the first tranche of the 2021 dividend of €0.15 per share through a voluntary scrip dividend in December 2021 and the second tranche of €0.15 per share in June 2022. In addition, we will propose to the AGM the adoption of the corresponding corporate resolutions for the cancellation of 1.65% of shares held as treasury stock as of the 25th of October 2021, according to the CNMV filing. Moving to Slide 4. We reiterate our strong commitment to ESG with key milestones reached in Q3. In the E pillar, building a greener future, to move towards becoming a net-zero emissions company, we have reached new long-term renewable electricity agreements in Spain and Brazil and continued our network transformation with copper shutdown in Spain and 3G switch-off in Germany, helping optimize energy usage. Over the last 5 years, Telefónica has implemented more than 1,200 projects, saving 2 million tonnes of CO2 and 7 terawatt hours of energy. In addition, we have launched the free online platform, Net-Zero Hub, to help small businesses become net zero in the U.K. With regards to the S pillar, helping society to thrive, Telefónica continues to connect people. 13 million premises passed have been connected to VMO2 gigabit broadband in the U.K., where we have also created the first-ever National Databank, providing free mobile data to tackle data poverty. And we highlight special advances in rural areas and inland areas with agreements to connect 600 blackout zones in Spain, 250,000 premises passed in the south of Argentina and 13,000 areas are already connected in Peru. Lastly, on the G pillar, we are leading by example. Vivo has been listed for the seventh consecutive year in the Best Emerging Markets Performers Ranking by Vigeo Eiris and introduced a new target to achieve 30% ethnic minority executives in leadership positions by 2024. In addition, Telefónica has been awarded prestigious awards for its commitment to and achievements in diversity: in Chile, the Ministerial Equal Conciliation Seal; and in Peru, the Scotiabank Equality Grand Prize 2021. On Slide 5, we review the performance of our Spanish operation. In Q3 '21, Telefónica Spain recorded year-on-year revenue growth for the second consecutive quarter, supported by sequential improvement in net adds, with customer satisfaction remaining at record levels with an NPS of 33% in September. The already low churn rate further improved year-on-year, proving that market rationalization is already a reality in the high-value segment. As expected, the start of the football season had a positive impact on convergent ARPU, which improved plus 2.5% versus Q2, up to €89.6. Year-on-year revenue growth was again recorded thanks to handset sales and record growth in IT. This was achieved in spite of more unfavorable comparison, intense low-end competition and the extension of travel restrictions still impacting roaming levels. Meanwhile, year-on-year OIBDA was negatively impacted by the rise in energy costs and the extraordinary one-off effect of lower content costs in the third quarter of 2020. Excluding these factors, OIBDA trend would have improved sequentially in Q3 with an OIBDA margin higher than 39%. The development of next-generation networks also advanced, and we delivered on our first priority: strong cash flow generation of €2.5 billion in the 9 months, with a margin of 27.2% in organic terms, which is a benchmark among incumbents in Europe. Finally, as the first visible allocation of European funds, on the 28th of October, Telefónica Spain was awarded in the 2021 call with close to 80% of the total funds devoted to extend ultra fixed broadband in rural areas. Moving to Germany, where we have had another quarter of strong commercial traction, underpinned by a successful network marketing campaign, driving quarter-on-quarter acceleration in contract net additions and ARPU growth. The 5G network is now live across more than 100 towns and cities and is on track to reach 30% of the population by the end of this year. Looking at the financials. This commercial momentum has driven sustained improvement in revenue trends of 5.1% growth year-on-year, which, together with operational efficiencies, has resulted in an OIBDA increase of 3.5% year-on-year in Q3. This has led to continued strong cash generation with the OIBDA minus CapEx margin remaining broadly stable in the first 9 months of the year, leading to 2.6% year-on-year growth despite accelerated CapEx spending during the same period. Moving to Slide 7 and our joint venture in the U.K., Virgin Media-O2, which continues to move at pace with integration, launching its first joint convergent product called Volt in October, leveraging the combined capabilities of the new company. Commercial focus has remained a top priority with the total base growing 5% year-on-year to reach 55.3 million accesses as of September, together with 5G now available in over 210 towns and cities and the fixed gigabit upgrade is on track to cover 100% of footprint by year-end. Looking at the financials. Revenue has returned to growth in the quarter. While its OIBDA growth has slowed due to the return of some sales and marketing costs as restrictions were eased and commercial traction picked up. CapEx grew by 9.2% year-on-year in the first 9 months, driven by increased investment in future technology, such as 5G and fiber. Given the trends in the first 9 months of this year, VMO2 expects pro forma transaction adjusted EBITDA growth to be flat to positive and a second half 2021 dividend of at least GBP 300 million. Moving now to Brazil on Slide 8. Vivo continued showing a strong momentum in both mobile and in fixed. In mobile, we maintained clear market leadership with a very low contract churn, leading to robust year-on-year growth in our customer base. In fixed, our second-to-none fiber-to-the-home assets continued to deliver. In just the first 9 months of the year, Vivo connected more customers to its fiber-to-the-home than in the whole of full year 2020. On the financial side, we posted very solid results, generating fixed revenue growth for the first time in 4 years and the strongest mobile service revenue growth in 6 years. Thanks to this positive revenue momentum, together with progressive digitalization and efficiency enhancements, the company was able to reach a 42% organic OIBDA margin in the first 9 months of the year. And finally, we continued prioritizing our ESG commitments. We are planning to have 83 renewable energy plants functioning by the end of 2022. While on the diversity front, we launched a new internship program that 50% will be filled by black students. Moving to Slide 9 and the main highlights of our fastest-growing unit, Telefónica Tech. Revenue growth continued to be strong, up 25% year-on-year in Q3 and once again well above market growth. Over the quarter, Telefónica Tech's scale was reinforced with an annualized revenue base of around €1 billion, following the integration of CANCOM U.K. and Ireland, now Telefónica Tech U.K. and Ireland, in August. This further reinforced our position in advanced cloud and digital services in Europe and improved our revenue mix, owing to the increased weight of value-added services. From a commercial perspective, sales continued to grow. In Cyber & Cloud, sales growth is largely driven by public administration, banking and retail. While in IoT and Big Data, the growth is attributable to connectivity and connected cars, Industry 4.0 and utilities. Tech services continued to support the sustained growth of group B2B revenues, which were up plus 4.8% year-on-year in Q3, delivering a differential performance in Europe. Moving to Slide 10 to review our Infra projects. In Q3, we continued to focus on executing the initial phases of work across our portfolio of neutral fiber-to-the-home wholesale vehicles. In Germany, UGG continued its rollout and commercialization program with the first customers already connected and new wholesale agreements signed with two regional ISPs. Additionally, MOUs signed with municipalities represent more than 100,000 premises. In Brazil, FiBrasil announced the acquisition of Fiberty 1 in August, improving and expanding its footprint. As a result, the company updated its target to reach over 6 million premises passed in 4 years, up from 5.5 million previously. In Chile, ON*NET Fibra continued with an accelerated rate of deployment with around 90,000 premises passed per month, reaching 713,000 premises passed in the first 9 months of the year. And in Colombia, we expect to receive all approvals for the InfraCo by the first quarter of 2022. In parallel, we continue to analyze our portfolio to capture further growth ahead while assessing our optionality across all asset classes, including fiber towers, subsea cable and data centers. I will now hand over to Laura for a review of our Hispam operations and the financial position.
Laura Abasolo: Thank you, Ángel. Moving to Hispam on Slide 11. We can see how our renewal strategy is gaining traction. We continued transforming our operation to FTTH after connecting 669,000 new accesses in the first 9 months of the year. Additionally, new fiber vehicles in Chile and Colombia will further accelerate FTTH deployment. In mobile, accesses rose 9%, with all 5 main countries posting growth for the fourth straight quarter. This focus on high-value accesses, together with a maximization of operational efficiencies from the new operating model and digitization, drove an improved year-on-year trend in both service revenue and OIBDA for the fourth consecutive quarter. It is also worth highlighting that revenue and OIBDA posted positive growth on both reported and organic basis. Finally, we continued to lower capital employed in the region. And CapEx to sales was reduced to 9% in the first 9 months of the year. Turning to Slide 12. Net financial debt stood at €22 billion as of September or at €25 billion post estimated distribution of proceeds to Telxius minorities. Including post-closing events, net debt would be reduced to €25.6 billion, a reduction of €9.6 billion since December 2020, mainly due to inorganic deals, such as the sale of Telxius and the VMO2 U.K. JV, coupled with a resilient free cash flow generation of €1.5 billion. Net debt to OIBDA ratio went down to 2.49x, 0.3x below the fiscal year '20 ratio. We maintained a healthy liquidity cushion of €22.6 billion, thanks to some liability management exercises and repayment of short- and medium-term bank debt. As a result, our average debt life has increased to 13.85 years and the maturities are covered beyond 2024. Telefónica financing activity amounts to 4 -- sorry, to €5.4 billion year-to-date, including the financing of JVs, such as VMO2 and the fiber vehicles, UGG and FiBrasil. We maintain an increased focus on ESG financing and continue to increase debt in LatAm currencies, most recently in Uruguay. Effective cost of interest payments over the last 12 months stood at 3.27% as of September 2021. Telefónica Group, with the vast majority of its debt at fixed interest rates and denominated in euros, is in a solid position to face any future rise in interest rates in the G7 countries. I will now hand back to Angel to recap.
Angel Vila: Thank you, Laura. To wrap up on Slide 13, our strategic focus remained on sustainable and profitable growth through ongoing portfolio simplification, further deleverage, execution of transactions to crystallize value, development of fiber vehicles and tech units and continued digitization with high-quality, secure and greener networks. Top line growth accelerates within a quarter in which FX was -- has not been a drag with both revenues and OIBDA showing organic growth for the second consecutive quarter. Smart capital allocation is reflected in 45% of CapEx being devoted to next-generation networks while acquiring spectrum so far this year at significantly lower than benchmark prices both in Spain and in the U.K. The integration of our JV with Virgin Media is progressing at pace, returning to top line growth in Q3 while continuing to invest for the future. It's also worth highlighting the strengthening of our balance sheet and capital structure. And finally, we are confirming our 2021 outlook and dividend. Thank you very much for listening. And we are now ready to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of David Wright from Bank of America.
David Wright: And if I might just add, a very poignant message given by your CEO, writing about Jesús Romero, which I think is very much appreciated by all of the analyst community who knew him well. So thank you very much for that, and of course, our deepest sympathies. Just going back to the print itself, you have mentioned both in the presentation and in the report that Q3 domestic EBITDA was impacted by higher energy costs, but that you don't expect these to continue. So I wondered if you could just expand on that. That would seem counterintuitive to perhaps what is happening right now. So just some detail on that, please, and how we could expect that domestic margin to evolve.
Angel Vila: Thank you, David. And first of all, thank you for your comment on Jesús Romero. He was a very much appreciated colleague, a very smart person, and not only very smart but very good personally and a great colleague and friend. All of us are going to miss him very deeply. So going to your question, so on Spain, on OIBDA and related to energy. The third quarter OIBDA had a decline of 8.9% year-on-year, dragged mainly by two factors. The first one is the energy price doubling, which explains close to 3 percentage points of this 8.9% decline. And the other factor is a tougher comparison base, as we had already anticipated in previous calls, on content costs year-on-year due to the one-time impact we had in this third quarter of 2020 on sports and other content rebates. Revenue improvement, on the other hand, is not totally reflected in OIBDA margin as the growth drivers of revenues at IT and handsets that yield a lower margin. And in addition, roaming did not fully recover for this quarter, which is, as you know, a high-margin contributor. So we can say that OIBDA is impacted by some of short-term impacts and a tough comparison base in content that will not be there in the coming quarters. We expect the energy impact to affect potentially a few quarters ahead but to fade away at some point early next year. And roaming will depend on the COVID situation but is still not fully recovering yet. In any case, if one were to exclude the effect of the higher energy costs and the content base effects, the year-on-year organic EBITDA trend in Q3 would have clearly improved versus the second quarter. So regarding margin, margin in Q3 stays at 38%, stable versus Q2. If we were to exclude the energy price inflation, margin would have exceeded 39% as we had been communicating and as it was expected. Faced with this situation, especially on the energy inflation front, you should expect us to activate even further efficiencies in our Spanish operation to try to mitigate as much that impact. And then of course, if one looks at the capital intensity of our Spanish business, I would like to highlight the operating cash flow margin, which stands in the 9 months at 27.7%, which continues to be a benchmark figure. And if it were adjusted by energy costs, that, at some point, its impact will fade away, would be even higher than that.
Operator: Our next question comes from the line of Fernando Cordero from Banco Santander.
Fernando Cordero: Also as a follow-up on the Spanish operation, and particularly considering the recent developments on the fiber-to-the-home assets, in that sense, I would like to discuss a little bit the impact of the recent regulatory update on your wholesale fiber offer. And in that sense, what could be the impact of this new framework in your portion of revenues and potentially considering the recent press reports on your ownership of the fiber network and the value of that network? And secondly, also as part of this regulatory update, there has been an acceleration of the process of the copper network switch-off. And I would like to understand on which is then -- or which is the current progress on savings materialization of the switch-off of the copper network.
Angel Vila: Thank you, Fernando. There have been some developments recently in the broadband fiber market revision. The main one has been setting the new competitive zone, which means a nonregulated zone, now to cover 696 towns and cities in Spain. Formerly, it was just 66. This represents now 70% of the Spanish population. And formerly, it was half of that, 35% of the Spanish population. This deregulation will be applied after a transitional period of 6 months now. And this leads -- we have not only the regulated area wholesale business, but we also have reached commercial agreements with several of the players in the Spanish market. This leads to continue to have a substantial line of revenues and strength in our wholesale and others revenue line in the Spanish P&L, which is growing at 8.9% in the third quarter. And here, we are -- in spite of still not having a full recovery of roaming, we're having a strong impact, both from the fiber wholesale through NEBA and other modalities but also from MVNOs. We have, as you know, a very well developed fiber network in Spain. Now it's covering close to 85% of all the premises in the country. We have developed one of the largest fiber networks across the European market. This network for us is a strategic asset. It's probably not reflected in our valuation but gives us optionality in the future. It's such a well-developed network that probably the greenfield opportunity is less so than one -- or is less relevant than what you can see in other fiber because we are developing in other markets, such as Germany. And the commercial wholesale agreements, as I was saying before, are already in place, which enable already a very good wholesale monetization of this fiber network. There is a strong interest in the market for this type of assets. We have a very valuable asset that gives us full optionality and flexibility to assess future options. I would like to stress that any option we may pursue in the future will consider always the strategic relevance of this asset for the Telefónica Group. Then regarding the copper switch-off, we continue to progress consistently across the Spanish footprint. We have been -- we plan to decommission the copper network by 2025. We have closed 1,015 central offices since 2015 and up to September of this year. And we have increased in the past every year to close as many central offices as -- to reach this target in 2025. This target, to shut down 100% of copper central offices, would imply real estate capital gains. It will be possible on the back of the new broadband market regulations, as you were saying, reducing the time to shut down with unbundled local loop players in those central offices, that has been reduced this time from 5 years' to 2 years' notice. So this will help us accelerate. And we will, of course, be achieving the one-off benefits of selling the real estate, selling the copper, the OpEx efficiencies because of the fiber network is much more efficient than the copper and also CapEx efficiencies in this process.
Operator: Next question comes from the line of Jakob Bluestone from Credit Suisse. Your next question comes from the line of Carl Murdock-Smith from Berenberg.
Carl Murdock-Smith: Just I'd like to ask a question, please, on LaLiga and just ask you to kind of expand on your approach towards that auction, your expectations with regards to inflation or deflation and more broadly, your thoughts on the potential for content ownership fragmentation going forwards.
Angel Vila : Thank you for your question. The conditions for the tender of LaLiga were published yesterday evening. And at the moment, we are evaluating the procedure and the different possibilities. There is some time ahead because the tender is opened for applications until the 13th of December. So the envelopes will be submitted on the 13th of December. What we see is that it’s in line with the LaLiga’s intentions that had been speculated or published in different media. So there are several options to package the matches and even the length of those rights. The packages can be the whole 10 matches of the – of every weekend, can also be split by packages of 5 and 5 matches or 7 and 3 matches of every weekend. And they open also the possibility of some bidder potentially acquiring specific weekends and whole matches. And the period for the rights is between 3, 4 and 5 years. We are interested in this differential content. It’s a content which is relevant for us to maintain and improve our commercial ratios, such as ARPU and churn, which are quite differential to any of our competitors. But of course, these rights have to be acquired in a cost-effective way. So we apply a very strict cost analysis based on profitability as we have done every time in the past. We will aim for deflation in this content. We achieved slight deflation in the previous cycle of LaLiga. We achieved double-digit inflation in the current rights of the Champions League. But of course, it’s early to say how the whole setting will apply. This is not the first time that LaLiga auction comes with several lots. We have lived in the past with situations in which we own part of the rights, we acquired from other players other part of the rights. In the process, also in the last 3 years, we have been integrating in our platform some over-the-top players, among them, some sports-oriented over-the-top players. So we are analyzing in detail and developing strategic approaches for the various outcomes that could come of the different lots of this auction. It’s something again that will develop later in the fourth quarter, bids to be submitted on 13th of December. And then the process will go on. We’ll keep the market updated as we have more news on this.
Operator: Our next question comes from the line of Nawar Cristini from Morgan Stanley.
Nawar Cristini: I have two questions, please: one on Hispam, the other on Spain. And starting with Hispam, looking at the good performance this morning, I was curious to know how this is tracking versus your initial expectations. And ordinarily, you have announced a strategic review of Hispam 3 years ago. It would be good if you can elaborate a little bit on the main priorities going from here, given that the number of actions were already taken in the region. And moving to Spain, I wanted to ask about the wholesale competition. We see an increased interest from pure infra players like, for instance, Olivia. They are targeting 9 million homes by 2025. We see also a newcomer, Ardian, put their acquisition of Adamo, they are going for 3 million homes. It would be great to have your thoughts on this. What risk this increase of these players are posing to your wholesale business and how you'll defend yourself in this context?
Laura Abasolo : Thank you for your question. Starting from Hispam and the good performance against initial expectations, I would tell you that since we took the decision to run Hispam in a different way, we've been approaching the region in a very disruptive model. And therefore, we have achieved great fruits of the new management model. It has not surprised us because it's been based on a very thorough execution, covering many and pulling many levers. First of all, the management approach is completely different. We have gone through a regional model in which we not only serve best practice, but we run many important projects for the whole region with a team which is -- with people in Madrid but with people in every country in Hispam. So that not only allow us to be more efficient, it has also driven a lot of agility. And we are already reaping good savings of that new regional model that will be at the run rate by 2022. Also, we modulated exposure through CapEx reduction, but that doesn't mean we will jeopardize growth. And in fact, you are seeing we are having record net adds as we are going through a lean and more variable CapEx or investment model. Another focus, and I'm probably asking both parts of the question similarly as I'm going through the priorities and actions we are taking, was high-value customers. So we have put all the focus on FTTH. We have put the focus in contract. And we have put the focus on giving the better service possible to our clients. And NPS has improved. And in the places where we were still running not so well versus competitor, we have improved substantially, so not only absolute, also relative NPS have improved a lot. Another thing was Hispam not dragging management focus, not dragging financial resources, being self-sustained. And for that, we have allocated much more debt. The ratios, the net to OIBDA ratios in Hispam are similar to the group levels or even higher. You have seen a lot of financing activity in Chile, Colombia, Uruguay. The most recent, Peru already had leverage that was raised prior to this year. So that has also made Hispam much more -- less volatile to FX movements and at the same time, very autonomous from a financial point of view. Finally, I would say that we still have a lot of optionality but not only in the inorganic front, as we have proven with the sale of Costa Rica already approved, with the fiber costs, both Chile and Costa Rica were approved this quarter. And they have posted nice capital gains and also net debt reduction. We also signed the El Salvador disposal. And with that, all Central American assets have been divested. And we will also get, as we said, a regulatory approval for Colombia. So those two will continue helping both in the net debt reduction. But there's a lot of optionality in the organic front. And we definitely have improved business plans from 2019. And we will continue executing thoroughly versus those very stronger now business plans. And also, a final comment, on the bid that you commented. Also, that bid was evenly distributed. But part of that had to do also with Argentina. And I think that Argentina shows how we manage in inflationary environments. So our capacity to raise prices but also to manage every OpEx and CapEx line is really remarkable. And in the case of Argentina, it's not only the OpEx and CapEx management, it's also, and this comment applies for the entire Hispam and also for the remainder of Telefónica, how advanced we are in digitization. So we have reduced the weight of the most inflation-related OpEx, and we -- as we have a much more digitized business model to attempt -- to serve our customers for operations and so on, we are more resilient. And I think Argentina is a good proof of that when you look at the performance despite inflation being around 50%.
Angel Vila: Regarding your second question, we have seen recently infrastructure fund investments in the fiber space in Spain. First conclusion of this, it proves the very high valuation of the infrastructure assets in our country. Again, not necessarily our asset is being valued. But as you said, it also anticipates new potential competitors in this segment. We believe that the risk is under control. As much of our wholesale business is protected by long-term agreements, we also have a fully developed network, which is available today for any wholesale counterparty compared to the potential growth plans of these fiber core challengers, which have a very limited footprint. We compete with differential assets. We have long-time expertise in the wholesale market. And if anything, one could see that part of the expansion plans of some of these fiber core challengers are not only organic but also inorganic, thinking of consolidation of small fiber core players, which brings the topic of potential consolidation in the Spanish market in this small infrastructure space. But also, one has to reflect about the Spanish market, which – and it’s – the sustainability of its current structure. We believe that players are showing low or insufficient return on capital employed ratios except Telefónica, except ourselves. And this is not sustainable in the long term. And this could lead to further consolidation in the market. Of course, we would be supportive. We would welcome market consolidation and market repair that would foster further next-generation investments and benefits for the customers.
Operator: And our next question comes from the line of Jakob Bluestone from Credit Suisse.
Jakob Bluestone: Apologies for the technical issues earlier, I'm not sure what happened. I had two fairly quick questions on Spain. Firstly, just -- I mean, you've obviously referenced the increase in energy prices. But I'd be interested in just any comments on sort of broader pricing inflation you're seeing. Specifically, do you see risks that your labor costs might have to rise as a result of rising inflation? So that's the first question. The second question, you mentioned earlier the optionality around your fiber in Spain. I was wondering if you could maybe be a little bit more specific, given there's been some recent press coverage about a potential minority stake sale in your Spanish fiber network. Could you maybe just sort of share with us what do you think are the pros and cons of such a move? And what would be your red lines?
Angel Vila : Thank you, Jakob. As for inflation, our base scenario is for inflation to peak in the near term. But of course, we are taking steps to fight the risk of a scenario of a longer-term inflationary environment. We are paying very close attention to energy costs, wages and others, such as chip shortages. For the time being, the main impact that we’re seeing is higher energy prices. And we are trying to manage these inflationary pressures by different ways. On one side, on the revenue, we are trying – or we are working to improve our growth profile through capital allocation into growing businesses. And this is partially reflected in our digital B2C and B2B new businesses. Inflation adjustment, which is possible in U.K., Brazil and Hispam, where there are inflation-linked tariffs, is not the case in Spain, although we have been still been able to promote more-for-more moves in the market. We also have pass-through mechanisms in most of our wholesale contracts. So we have on the revenue side some mechanisms. On the OpEx level, we will continue to implement and accelerate efficiency measures, fostering digitalization, as Laura was saying. And I should say that we have an OpEx structure that somehow hedges us from this. On one hand, the content costs, we are working in deflation in sports content. We achieved that in previous auctions of Champions, Formula One, other contents. And as I said before, in this LaLiga auction, we’re going to aim for a certain degree of deflation. In network costs, we have the energy costs that amount to around 3% of our OpEx base. And here, we are taking steps to be more efficient in energy consumption and also in the contract for supplying that energy. The employee costs, given all the efforts that we have done in the past for being more efficient in personnel and more productive in our operation, the weight of employee cost is a significantly lower weight over total revenues than the average in the sector. And here, this is protecting us. And finally, on CapEx, our first natural hedge is the significantly lower than average capital intensity because of the investments we have been already doing in our operation in Spain. So we are not immune, but we have been taking and we’ll continue to take measures to offset inflation-related impacts. And we believe that, as we have shown in the past, we have lived in perimeter inflationary situations in many instances. We have proven in the past our ability to adjust our cost base. Then regarding the fiber, I’m afraid I cannot be more specific. We have again a very well developed fiber company. It’s very well invested, still has some growth opportunity. But the greenfield opportunity is not that large. We are also taking benefit of the European recovery funds through the program, UNICO, in order to continue expanding the network into different areas. It’s a very effective capital deployment model while helping to improve the connectivity in the country. And it’s a very attractive asset. We know that there is interest. We are seeing valuations given by the market to this type of infrastructure. And this gives us flexibility to assess future options, that, in any case, we take into account the strategic nature of the asset for us.
Operator: Our last question comes from the line of Keval Khiroya from Deutsche Bank.
Keval Khiroya: I've got a question on Spain, please. You've highlighted the strong domestic free cash flow margin partly reflecting the lower CapEx of some of the growing revenue streams. So anything you can say on how we should think about how the domestic free cash flow margin should evolve over the next year or 2? Would your goal be to maintain it close to the current 27%?
Angel Vila: Well, we – as you know, we don’t guide on specific operations. And we will be issuing the group guidance for 2022 and forward with our full year results. But what we see is the momentum on our revenue line is sustained. So we believe that, as we said before, the ARPU in the second half of the year will be higher than in the first half. And we continue to develop new digital products in B2C. The traction in B2B is quite strong in the recovery from COVID. Also, the wholesale line is strong, so momentum on the revenue line is strong. We will continue to work on efficiencies to maintain the OIBDA margin in the levels of very high 30s, where we are trading right now. And CapEx would remain focused on deployment of next-generation networks, not so much fiber anymore. Yes, we will continue to be deploying 5G. We already have coverage with non-stand-alone 5G, higher than 80% now in Spain. But moving into 2022 and into 2023, that will develop further. But in any case, we continue to have the priority to have operational cash flow in Spain to be the benchmark in the industry in Europe. That is an absolute priority for us.
Operator: At this time, no further questions will be taken.
Angel Vila: Thank you very much. We hope we have been able to respond to the questions that you may have on us. Please feel free to reach our Investor Relations department for any further questions that you may have. Thank you.